Operator: Thank you for standing by. This is the conference operator. Welcome to the Lululemon Athletica Inc. Third Quarter 2022 Conference Call. [Operator Instructions] The conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]
 I would now like to turn the conference over to Howard Tubin, Vice President, Investor Relations for Lululemon. Please go ahead. 
Howard Tubin: Thank you, and good afternoon. Welcome to Lululemon's third quarter earnings conference call. Joining me today to talk about our results are Calvin McDonald, CEO; and Meghan Frank, CFO. 
 Before we get started, I'd like to take this opportunity to remind you that our remarks today will include forward-looking statements reflecting management's current forecast of certain aspects of Lululemon's future. These statements are based on current information, which we have assessed but by which its nature is dynamic and subject to rapid and even abrupt changes. 
 Actual results may differ materially from those contained in or implied by these forward-looking statements due to risks and uncertainties associated with our business, including those we have disclosed in our most recent filings with the SEC, including our annual report on Form 10-K and our quarterly reports on Form 10-Q. 
 Any forward-looking statements that we make on this call are based on assumptions as of today, and we expressly disclaim any obligation or undertaking to update or revise any of these statements as a result of new information or future events. 
 During this call, we will present both GAAP and non-GAAP financial measures. Reconciliation of GAAP to non-GAAP measures is included in our quarterly report on Form 10-Q and in today's earnings press release. In addition, the comparable sales metrics given on today's call are on a constant dollar basis. 
 The press release and accompanying quarterly report on Form 10-Q are available under the Investors section of our website, www.lululemon.com. Before we begin the call, I'd like to remind our investors to visit our investor site where you'll find a summary of our key financial operating statistics for the third quarter as well as our quarterly infographic. 
 Today's call is scheduled for one hour, so please limit yourself to one question at a time to give others the opportunity to have their questions addressed. And now I'd like to turn the call over to Calvin. 
Calvin McDonald: Thank you, Howard. I'm happy to be here today to discuss our third quarter results, which, as you've seen from our press release, continue to be strong and resilient while we navigate an external environment that remains challenging. At Lululemon, innovation is at our core. We create apparel, footwear and gear that offers technical solutions to our guests as well as versatility and comfort with a variety of end uses, but that's just the starting point for us. 
 Lululemon is a brand that stands for community with connection firmly at our core. We connect with guests through our educators and ambassadors through our well-being offerings and local events and now through our new membership program in Lululemon Studio. It is this combination of innovation and connection that differentiates Lululemon from our peers and contribute meaningfully to the continued and sustained momentum we see across the business. 
 Over the next few minutes, I'll highlight for you the trends we've experienced over the recent Thanksgiving weekend on what we're seeing in our business at the start of the holiday season. Then I'll discuss quarter 3 and speak to the balanced strength we continue to see across our business in terms of geography, channel and merchandise categories. 
 Next, I'll update you on the supply chain environment and our inventories, and then I'll speak to our product pipeline. And finally, I'll speak to the benefits of our direct-to-consumer model and several of the unique ways we enabled connection with our community. So let's jump in. I will start with our performance over Thanksgiving as I'm sure it's top of mind for all of you. 
 I'm pleased with our results and performance over the extended Thanksgiving weekend and as we start the holiday season. Over the past 2 weeks, I have traveled with several senior leaders across North America to cities, including Phoenix, Tampa, Orlando, New York and Toronto. We visited several stores in each market and saw a tremendous level of engagement from our team members, our guests in every store. 
 In fact, Black Friday was the biggest day ever in our history in terms of revenue and traffic driven by our results in both North America and around the world, with guests responding well to the innovation we offer across our product assortment. 
 Our performance across markets and geographies shows that consumers are seeking brands like Lululemon that offer innovative, versatile product and a strong community connection that they can't find anywhere else. We also recognize that the external environment remains challenging with several high-volume weeks still in front of us. That being said, I'm encouraged with the beginning of our holiday season and I am confident in how our brand is positioned in the near and long term. 
 Now I will speak to our performance in quarter 3. Meghan will go through the details in a few moments, but I'll share with you some of the financial highlights. Our revenue growth remains strong and balanced across several drivers as follows: all on a 3-year CAGR basis. Stores increased 16%, while e-commerce grew 46%, by region, North America grew 24% and international increased 42%. Revenue in Mainland China grew nearly 70% and we experienced strength across merchandise categories with men's up 28%, women's up 23% and accessories growing at 52%. Adjusted earnings per share increased 23% versus last year and 28% on a 3-year CAGR basis. And our market share gains continue. While the adult active apparel industry decreased its U.S. revenue by 4% in fiscal quarter 3 '22 compared to the same period last year, Lululemon gained 1.5 points of market share in the U.S. over this time, the most of any brand in this market according to the NPD Group's consumer tracking service. 
 These results are only possible due to the strength and dedication of our people around the world. To our teams in our stores, in our distribution centers and call centers and in our store support centers, I'd like to express my gratitude on behalf of the entire leadership team. You connect with our guests every day, execute against our growth plan and continue to support one another, all of which enable the financial results we deliver quarter after quarter. 
 Turning now to supply chain and our inventories. We continue to see improvements across our supply chain. Our factories have now returned to pre-pandemic levels of production efficiency. In addition, ocean delivery times are continuing to improve from the 70 days we experienced last quarter. I'm also excited to share that we recently opened our Tilbury distribution center located near Vancouver to support demand in Western Canada. This DC is a great example of our ongoing investment in strategic foundational infrastructure projects that will help fuel our "Power of Three x2" growth plan. 
 In terms of inventory, we ended quarter 3 with dollar inventory up 85% on a 1-year basis and units up 38% on a 3-year CAGR basis, both metrics in line with our expectations. As we discussed, our inventory levels were too lean last year, and we made the strategic decision to build inventories this year, which enabled the strong top line growth we have delivered. 
 Meghan will share additional details, and we remain comfortable with both the quality and quantity of our inventory. We continue to leverage our core styles, which account for approximately 45% of our total inventory and carry limited seasonal markdown risk. I'd also note that quarter 3 will represent the high point for our inventory on a 1-year dollar basis. And as we enter quarter 4, we are well positioned to be in stock throughout the holiday season. 
 I will now spend a few minutes speaking about product. As you know, innovation at Lululemon is fueled by our science of field development platform. Our team's focus first on identifying the unmet needs of our guests and then we view them through the lens of activities to develop new franchises and other hero items that are versatile and innovative. 
 Quarter 3 had some great examples of how we bring this strategy to life. In footwear, we launched our fourth style, Strongfeel. Like the other technical styles rolled out this year, Strongfeel was designed for women first, which differentiates us from many of our peers who create shoes for men and then adapt them for women. Strongfeel is a technical training shoe designed to keep the foot anchored and secured during workouts and we're encouraged by the initial guest response. 
 As I've mentioned before, footwear is a test-and-learn category for us, and it represents a small portion of the growth we anticipate over the next 5 years. This allows us to build into the potential at an appropriate pace as we learn and make adjustments. That being said, we're excited about the potential opportunity in this category, and we were pleased to be recognized by Footwear News with the Launch of the Year Award presented during their 36th Annual Achievement Awards last week in New York. 
 Turning now to franchises. It's great to see how our teams continue to build out our range of Wunder Puff offerings. We started with a single women's jacket and have expanded into 11 styles within this outerwear franchise across women's, men's and accessories. Our results show that our guests respond extremely well to the breadth of options. While last year, we were constrained in terms of inventory, particularly in outerwear, we are well positioned with Wunder Puffs for the holiday season and expect to meet guest demand. 
 As we look forward, franchise development represents a unique and distinctive opportunity for Lululemon with Align, Scuba and Define as a few examples, all of them beginning with a singular style and then expanding into popular multiple style offerings. And this is just the beginning. We will continue to introduce, expand and grow our franchise business into the future. 
 Let me now shift gears and speak to another one of Lululemon's key competitive advantages, our D2C model. Our ability to connect directly with guests in real time and across both our physical and digital channels gives us a number of ways to engage beyond a purchase transaction. In quarter 3, we launched our new membership program, began to hold local 10-K races for the first time since the pandemic began, and we brought focus to World Mental Health Day around the world with a notable activation in China. 
 Some highlights are, in early October, we successfully launched our new 2-tier membership program in North America. The essential tier is free to everyone and offers unique benefits to members, including early access to product drops, exchange or credit on sale items and invitations to virtual community events. 
 The premium tier of the program, Lululemon Studio represents the evolution of Mirror into a much more engaging hybrid fitness offering. We've extended our collective by partnering with some of the best fitness studios and instructors to bring even more classes to our members, both digitally and in real life. 
 To join, members purchased a Lululemon Studio Mirror, agreed to a $39 monthly subscription and received many exciting new benefits. 
 Another way we engage with guests is through our 10-K runs. We sponsored 2 races in Atlanta and in Houston and we're excited by the response. We paused these experiences during the pandemic. So I'm thrilled that we have been able to hold these large-scale community activations once again, bringing together our guests, local teams and ambassadors to extend our community connection. 
 And in China, we brought attention to World Mental Health Day in October with a month-long campaign aimed at inspiring people to take positive actions towards improving their physical, mental and social well-being. This included in real life events focused on wellness, media partnerships and the launch of a digital well-being hub on WeChat. These examples bring to life the unique ways we connect with our guests and our communities across the globe. 
 This enduring strength of Lululemon demonstrates our ability to be globally strong and regionally relevant as we foster a deeper relationship with Lululemon for existing and importantly, new guests. All of this increases brand awareness, drives traffic to our stores and websites and ultimately results in higher purchase consideration engagement with Lululemon. 
 Before handing it over to Meghan, I wanted to speak further about our international business. As you know, our plans call for a quadrupling of international revenue over 5 years from 2021 to 2026, and I'm very pleased with how our leaders and local teams are executing against that goal. This was reinforced for me during my recent visits to the United Kingdom and Australia. I toured both markets with our local leaders and team members and got to experience firsthand the energy and excitement of our stores and our recently optimized locations in Australia. 
 It's also exciting to see how we are elevating the guest experience in these markets with the recent rollout of ship from store and enhanced endless aisle capabilities in both regions. With strong leaders in each of these markets and across our international business, I'm energized by our ability to continue to strategically expand Lululemon across geographies. The potential is considerable. 
 And building upon the momentum from our recent market entry into Spain, we opened another iconic location in Europe just last week with a store on the Champs-Elysees in Paris. In the heart of one of the city's main shopping districts, this store will enable us to grow brand awareness, both in France and across Europe, given this is such a popular tourist destination. 
 While our growth prospects are balanced across geographies, international represents a key piece of our "Power of Three x2" growth plan. We're off to a great start, and I look forward to sharing more with you on future earnings calls. With that, I'll now turn it over to Meghan. 
Meghan Frank: Thanks, Calvin. I'm pleased that our momentum continued in Q3, and we were able to deliver both top and bottom line results, which exceeded our guidance. 
 The holiday season is also off to a good start with strong traffic over the extended Thanksgiving weekend, and a positive guest response to our holiday merchandise assortment. In addition, we're in a much better inventory position this year to meet guest demand. However, I also want to acknowledge that we have several large volume weeks ahead of us, and our teams remain focused on connecting and engaging with our guests. 
 Let me now share the details of our Q3 performance. I will also discuss specifics on our balance sheet, including our inventory and cash position. Please note that when comparing the financial metrics for Q3 2022 with Q3 2021, the adjusted operating results for Q3 2021 exclude $0.18 of expense related to the acquisition of Mirror. You can refer to our earnings release for more information and reconciliations to our GAAP metrics. 
 For Q3, total net revenue increased 28% to $1.86 billion, ahead of our guidance. Comparable sales increased 25% with a 17% increase in stores and a 34% increase in digital. On a 3-year CAGR basis, total revenue increased 27%. In our store channel, sales increased 28% on a 1-year basis and 16% on a 3-year CAGR basis. Productivity continues to trend above 2019 levels. And although we had 22 stores closed in Mainland China in the last week of November, we currently have 99% of our fleet open globally. 
 We ended the quarter with a total of 623 stores across the globe. Square footage increased 19% versus last year, driven by the addition of 71 net new stores since Q3 of 2021. During the quarter, we opened 23 net new stores and completed 7 co-located optimizations. 
 In our digital channel, revenues increased 46% on a 3-year CAGR basis and contributed $767 million of top line or 41% of total revenue. Within North America, revenue increased 24% and within international, we saw a 42% increase, both on a 3-year CAGR basis. And by category, men's revenue increased 28% on a 3-year CAGR basis, women's increased 23% and accessories grew 52% on the same basis. 
 I'm also excited that we continue to see strength in traffic across both channels. In stores, traffic increased nearly 25%. And in our digital business, traffic to our e-commerce sites and apps globally increased nearly 50%. On a 3-year CAGR basis, traffic is up 9% in stores and over 41% in e-commerce. This speaks to the strength of our omni operating model as we engage with our guests in ways most convenient to them. 
 Gross profit for the third quarter was $1.04 billion or 55.9% of net revenue compared to 57.2% of net revenue in Q3 2021. Our gross margin decrease of 130 basis points relative to last year was driven primarily by 60 basis points of deleverage from foreign exchange within gross margin, which was somewhat offset by a 20 basis point FX benefit within SG&A. A 40 basis point decrease in product margin, driven primarily by higher markdowns and inventory provisions relative to low levels last year, partially offset by lower air freight expense. And 30 basis points of deleverage on fixed costs, driven primarily by investments in our product teams and distribution centers, offset somewhat by leverage on occupancy and depreciation. 
 When looking at markdowns versus 2019, they were relatively flat and in line with our expectations. The decline in gross margin was larger than our guidance of 50 to 70 basis points, driven predominantly by FX and regional revenue mix. From a regional standpoint, while revenue growth in China was strong for the quarter, it was below our expectations due to COVID-19 impacts. 
 Moving to SG&A. Our approach continues to be grounded in prudently managing our expenses while also continuing to strategically invest in our long-term growth opportunities. SG&A expenses were $684 million or 36.8% of net revenue compared to 37.6% of net revenue in Q3 2021. The leverage in the quarter versus Q3 2021 resulted from leverage in our stores and other channels on corporate SG&A and on foreign exchange. This was offset somewhat by an increase in depreciation and amortization. 
 Operating income for the quarter was $352 million or 19% of net revenue compared to adjusted operating margin of 19.4% last year. Tax expense for the quarter was $97 million or 27.6% of pretax earnings compared to an adjusted effective tax rate of 25.1% a year ago. The increase relative to last year is due primarily to an accrual for withholding taxes on a portion of fiscal 2022's Canadian earnings and a decrease in tax deductions related to stock-based compensation. 
 Net income for the quarter was $255 million or $2 per diluted share compared to adjusted earnings per diluted share of $1.62 in Q3 of 2021. Capital expenditures were $176 million for the quarter compared to $123 million in the third quarter last year. Q3 spend relates primarily to investments to support business growth, including our multiyear distribution center project, store capital for new locations, relocations and renovations and technology investments. 
 Turning to our balance sheet highlights. We ended the quarter with $353 million in cash and cash equivalents and nearly $400 million of available capacity under our revolving credit facility. Inventory at the end of Q3 was $1.7 billion, in line with our expectations. This reflects 1-year dollar growth of 85% and a 3-year unit CAGR of 38%. 
 In-transit inventory is up relative to 2019 and is contributing approximately 3 percentage points to the 3-year unit growth rate. I'd also note that core seasonless product continues to make up approximately 45% of our inventory. We remain pleased with our inventory levels, which position us well to fulfill guest demand in Q4. 
 Looking forward, on a 1-year dollar basis, we expect the inventory growth rate at the end of Q4 to begin to moderate and increase approximately 60% relative to last year. On a 3-year CAGR basis, we expect unit growth to be approximately 39% at the end of Q4. 
 During the quarter, we repurchased approximately 55,000 shares at an average price of approximately $311. At the end of Q3, we had approximately $812 million remaining on our recently authorized $1 billion repurchase program. 
 Let me now shift to our guidance outlook. We're pleased with the start of the holiday season. However, the environment remains dynamic, and we still have approximately 2/3 of the quarter ahead of us. For Q4, we expect revenue in the range of $2.605 billion to $2.655 billion, representing 1 year growth of 22% to 25% and a 3-year CAGR of 23% to 24%. We expect to open approximately 30 net new company-operated stores in Q4. We expect gross margin in Q4 to increase 10 to 20 basis points relative to Q4 of 2021. We expect to see an improvement year-over-year in product margin, driven by lower airfreight expense, which will be partially offset by continued FX pressure and the timing of expenses related to our supply chain investments. We expect markdowns to be in line with 2019 levels. 
 In Q4, we expect our SG&A rate to leverage 30 to 50 basis points relative to Q4 2021. Turning to EPS. We expect adjusted earnings per share in the fourth quarter to be in the range of $4.20 to $4.30 versus adjusted EPS of $3.37 a year ago. For the full year 2022, we now expect revenue to be in the range of $7.944 billion to $7.994 billion. This range assumes our e-commerce business continues to grow approximately 30% relative to 2021. 
 When looking at total revenue, our guidance implies a 3-year CAGR of 26%, which continues to be higher than our 3-year revenue CAGR of 19%, leading up to 2020 and higher than the target of approximately 15% growth we set forth in our new "Power of Three x2" growth plan. 
 We now expect to open 79 net new company-operated stores in 2022, up modestly from our prior guidance of 75. Our new store openings in 2022 will include 45 to 50 stores in our international markets and represent a square footage increase in the low 20% range in total. 
 For the full year, we forecast gross margin to decrease between 100 and 140 basis points versus 2021. The reduction relative to last year is driven predominantly by foreign exchange. A more normalized level of markdowns relative to the low levels we experienced last year and increased investment in our DC network. Turning to SG&A for the full year. We forecast leverage of 100 to 140 basis points versus 2021 driven predominantly by increased sales. And when looking at adjusted operating margin for the full year 2022, we expect it to be approximately flat versus last year. 
 For the full year 2022, we expect our effective tax rate to be 28% to 28.5%. For Q4, we expect our effective tax rate to be approximately 28.5%. For the fiscal year 2022, we expect adjusted diluted earnings per share in the range of $9.87 to $9.97 versus adjusted EPS of $7.79 in 2021. Our EPS guidance excludes the impact of any future share repurchases and the gain on the real estate sale we realized in Q2. 
 We now expect capital expenditures to be approximately $630 million to $655 million for 2022. The increase versus 2021 reflects increased investment in our supply chain, digital capabilities, new store openings and renovations as well as other technology and general corporate infrastructure projects, including our multiyear project to increase our distribution capabilities to support our future volume and growth. And we are also ramping up our square footage growth relative to last year and now intend to open 79 stores versus our prior expectation of 75. Our range of $630 million to $655 million is approximately 8% of revenue, in line with our current "Power of Three x2" [indiscernible]. Thank you. And with that, I'll turn it back over to Calvin for some closing remarks. 
Calvin McDonald: Thank you, Meghan. In closing, I just want to reiterate how pleased we are to see the continued momentum in the business and our strong start to our "Power of Three x2" growth strategy. As we look to quarter 4 and into 2023, I am confident in both our near- and long-term plans that will enable us to deliver on our goals while continuing to successfully navigate whatever comes our way. I look forward to taking your questions now. Operator? 
Operator: [Operator Instructions] Our first question is from Adrienne Yih with Barclays. 
Adrienne Yih-Tennant: And may I say congratulations, very well done. Calvin, I wanted to focus a little bit on China. You talked about kind of strong growth there. You're opening lots of stores out there [indiscernible] probably for next year. What are you seeing then-- what is the breakdown between stores and e-commerce [indiscernible]. 
Calvin McDonald: Adrienne, thanks for the question. We're seeing very good growth across both store channel and our dot-com channel. We don't share the ratio between those 2 but both contributed to growth in the quarter. And as you indicated, the market continued to grow very strongly for us even with their ongoing challenges with COVID where we saw store closures, reduced operating hours comparable to what we saw in quarter 2. They're improving, but just recently, and the team is doing a wonderful job managing through that. But the momentum in the brand across the categories in both genders and both channels remains very strong. And we're very excited about the potential of the brand to be able to continue to drive it through this year as we have and how the guest is responding to it. So we remain very, very excited about the potential and the role that will play in quadrupling our international business with Mainland China playing a big part of that performance. 
Adrienne Yih-Tennant: Okay. Can you give the percent of sales [indiscernible]? 
Calvin McDonald: In terms of growth in the quarter? Or... No, no, sorry, we don't share that. 
Operator: The next question is from Alex Straton with Morgan Stanley. 
Alexandra Straton: Great. And of course, congrats on another great quarter. I wanted to just start with what you mentioned on the early holiday performance. It sounds like you guys have been delivering a really impressive result compared to what we've heard across other specialty retailers this earnings season and even at our conference earlier this week. So you guys are really kind of bucking the trend here. What would you attribute Lulu's quarter-to-date outperformance to so far? 
Calvin McDonald: Thanks for the question. I'll break it into 2 parts that are driving the momentum both in Q3 as well as to the start of Q4, where our guest metrics have been consistent, as I've shared and remain very healthy across traffic, new guest acquisition, dollar spend, and the balance across our regions, our channels, our categories and activities. 
 But I think one of the primary drivers of our brand and momentum relative to others really sits with the brand positioning and the uniqueness of our brand with product focused on technical solutions, fabrics through our innovative approach of science of feel and the versatility of how the guest uses our product from not just sweating but through on the move. 
 Our D2C model and community and that connection that we have with the guest in quarter 3, we were able to turn some of those physical connections back on and connected to the launch of membership. So they're really distinct aspects of the brand that separate us from many others in this space and within the athletic, within retail, hence, I think the share gains and the overall success. 
 I also think some of the decisions we made as a management team early on. Decisions around pricing, decisions around [indiscernible] to have the products and our decision around inventory has allowed us to continue to deliver on the demand side that we're seeing as we continue to see new guest acquisition strong and the pricing decisions to really manage pricing, to not move pricing aggressively, has allowed us to continue to sell our regular price, not be forced into unnecessary markdowns or course correcting with promotional play like we're seeing happen in the marketplace. So great products, regular price is still selling, driven off of the uniqueness of the overall brand and position in the market. 
Alexandra Straton: That's super great color. Maybe one just final one for me. I wanted to touch on inventory. Similarly, juxtaposing you guys against some of the peers, we've seen many be able to work inventory levels down on a year-over-year basis. Can you just talk about why Lulu is more similar to the last quarter? And then also I think you may have taken the fourth quarter outlook up a little bit on inventory, maybe from 60% to 55% -- from 55% to 60%. So I think a little bit higher than last time. Correct me if I'm wrong, but can you guys just talk about that dynamic for us? 
Meghan Frank: Yes, absolutely. So end of Q4 inventory was in line with our expectations. We were under inventory last year. So as Calvin mentioned, we strategically positioned inventory to be able to capture guest demand this year. We've really been focused on that 3-year unit CAGR, which is 38% at the end of the quarter with 3 points driven by in transit. We are continuing to experience supply chain environment improving and vendor readiness improving. So the team is adjusting to that new reality. That is reflected in the 60% color that we gave for year-end. 
 So as we said, a little bit higher than the 55% to 60%, we gave at the end of last quarter for end of year inventory driven by that improving supply chain environment and vendor readiness. 
Operator: The next question is from Brooke Roach with Goldman Sachs. 
Brooke Roach: Calvin, the innovation pipeline at Lululemon has been particularly strong this year. I was wondering if you could talk a little bit more about that into next year? And where you think the product resonance can really improve as you think about managing consistent growth across your business and particularly in North America. Maybe within that, you could reflect on the glide path between the very strong 1- and 3-year CAGRs that you're performing now versus the longer-term target of 15% and how you think about that growth may be normalizing over the course of the next few years to that long-term target? 
Calvin McDonald: Great. Thanks, Brooke. So in terms of the product pipeline, this year was definitely an exciting year across both our own categories and activities, our play activities, launch of footwear, Q3, like the first half of this year saw a number of new innovations, both in new fabrics, fabrications into our proven franchises like the Align. And Q4, equally, we have some exciting innovation that has hit and will continue to, and the guest is responding very well. That's a proven formula for us. And when I look forward to 2023, we continue to and will continue to drop innovation across the core activities that we've identified of run, train, yoga of the play tennis, golf and hike, and it's both new franchise [indiscernible] items as well as extensions of some of our proven very successful franchises. A great example of that is the Align franchise, one of our strongest with the Lulu fabrication and there's Lulu Ribbed that dropped at the end of Q3, available now in Q4 and the guests are responding incredibly well to that. 
 So we have a number of innovative opportunities across creating completely new items and category extensions through franchise as well as building on the ones. And '23 is another very strong year of innovative launches, which I'm excited about continuing to bring to market. And as you mentioned, we are after the first 3 quarters of this year, trending above the guidance of the "Power of Three x2" growth plan, which we're excited to see how the brand is responding and the guests are reacting to the newness in our new guest acquisition. We haven't changed our outlook and the commitment on the "Power of Three x2", but obviously, very pleased with our performance to date and as we look forward into next year. 
Brooke Roach: And if I could just squeeze one more in for Meghan. Meghan, can you help us with the approximate sizing of the airfreight FX and supply chain investment that is going into the gross margin in 4Q? And remind us how much of those pressures will be persisting into 2023? 
Meghan Frank: Yes. So as we look at Q4, we do expect that overall operating margin will have similar pressure as we did in Q3 in terms of FX. So we had a net pressure of 40 basis points in Q3. We're expecting something similar for Q4. When we look overall at our operating margin for Q4, we see it expanding year-over-year in the 40 to 70 basis point range with our guidance versus last year in gross margin, we gave color of 10 to 20 basis points. We're seeing a benefit on product margin driven by lower air freight, which will be partially offset by normalized markdowns in line with our 2019 levels and then also mix of business. We also had that negative impact from FX. And then we'll also have some pressure in gross margin related to fixed costs, particularly the timing of our DC investments, which are really positioned to enable our scale of the business over the next 5 years. 
 And then on the SG&A side, we're expecting 30 to 50 basis points of leverage, which would be driven by higher sales as well as a little bit of a benefit on the FX side within SG&A. 
Operator: The next question is from Matthew Boss with JPMorgan. 
Matthew Boss: Great. Congrats on another nice quarter. So Calvin, on the material market share gains that you cited, where do you see the largest share opportunities remaining maybe across categories? And then just to elaborate on the start of the fourth quarter, could you just provide any color on the cadence of shopping that you're seeing, maybe stores versus digital? And then just given the comments on the encouraging start of 4Q, is it fair to say you've embedded moderation in the growth CAGR for the remaining 2/3 of the quarter relative to your start? 
Calvin McDonald: Thanks, Matt. So on the last piece in terms of the start of the quarter and what we're seeing, traffic was very strong for us across both our online channel as well as stores in Q3, and we're pleased with the continuation of strong traffic numbers into this quarter. And there's still a lot of the quarter ahead. So as we shared, we had a very strong Thanksgiving shopping weekend and saw good results of our regular priced merchandise and there are some critical weeks ahead. So the teams just remain focused in managing accordingly as we get ready for the holiday season. So that's our approach and how we're monitoring and managing through. 
 And the first part of the question, right, market share. Got it. When I look forward in terms of our continual opportunity to grow market share, it's a combination of both in men's and women's categories and our key activities that we've identified across run, train, yoga, tennis, golf and hike. We shared at our Analyst Day our opportunity in unaided brand awareness with Him. We have seen an improvement in that, but it's well below what the potential is and other brands in our category space. So we know as we continue to drive awareness behind the brand in consideration, it's having an impact on our men's business, pleased with the growth in the quarter of 28% but really just getting started in terms of the potential of more being aware of and considering Lululemon in addition to, as we continue to build out some of the assortment and unmet needs that we have around those core activities that we focused on. 
 And for Her, although we have a better unaided brand awareness, we are still below, again, others in our category space. So we still have opportunity. And women's OTM for us is an exciting opportunity to expand that relationship share of wallet and continue to drive market share. So market share gains, one through unaided awareness and improving that to continue to drive our new guest acquisition, innovating within our core activities as we've identified, as I mentioned before, we're still early innings on the unmet needs and the potential that we see to continue to bring to market and then the option and the opportunity we have around women's OTM is a really exciting one for us, for her as well. So a lot of opportunities that we have to continue to drive market share. 
Operator: The next question is from Lorraine Hutchinson with Bank of America. 
Lorraine Maikis: Just wanted to ask a few more follow-ups on gross margin. Do you still expect airfreight to be a 10 basis point benefit to the full year? And have you changed your view at all on markdowns for the fourth quarter given the more promotional environment? 
Meghan Frank: Lorraine, so we are expecting airfreight to be slightly better for the full year. So we had said 10 basis points last time, and it's come up to 50. That is being offset by a negative impact from FX both for Q3 and Q4. And then in terms of markdowns, we've been expecting markdowns to be in line with 2019 levels. We did see that in Q3, and that remains our expectation in Q4. And we view that as a more normalized level for us as we compare to 2019. And still, as Calvin mentioned, very healthy full price sell-throughs and no changes in plans for markdown. 
Operator: The next question is from Rick Patel with Raymond James. 
Rakesh Patel: Can you help us think about profitability by region? I'm just curious how that's tracking given your strong demand globally versus strategic investments that you're also making and where you see the most opportunity as you look out to the next year? 
Meghan Frank: Thanks, Rick. So we are profitable across both our international and North America regions. We were pleased that Europe hit profitability last year. We continue to see opportunity across both North America and international over the longer term. We're obviously in earlier stages in our international business. So we'd expect to see more expansion there as we scale, but the opportunities with scale across both regions. 
Operator: The next question is from Abbie Zvejnieks with Piper Sandler. 
Abigail Zvejnieks: I was wondering if you had any category commentary. I know that last year, you were significantly under inventory in some categories like outerwear, but any shifts you're seeing there? And then maybe commentary on Everywhere Belt Bag. 
Meghan Frank: Yes. I would say in terms of categories, we are seeing pretty balanced growth across our men's, women's and accessories business, all in the double-digit range. We did have pockets of inventory where we were under last year, notably, I call it outerwear where we've seen more positive performance and believe we're in a strong inventory position as we enter Q4. 
 In terms of the Everywhere Belt Bag, it's been a great style for us. Accessories growth, obviously, very strong. It's our #1 sale and we continue to innovate across all of our assortments as we move into Q4 and then into 2023 as well. 
Operator: The next question is from John Kernan with Cowen. 
John Kernan: Congrats on navigating a tricky environment. Thanks for all the commentary on gross margin and inventory. I guess when we look at the level of units but also the cost on the balance sheet, is there anything lingering in the cost of goods sold into next year from some of the higher sourcing costs earlier this year that might be a source of pressure on gross margin? Or do you -- are there offsets to that as we -- from supply chain as we go into next year? 
Meghan Frank: Yes. Thanks, John. I would say we're pleased with the inventory level as we move into Q4, we're obviously seeing some improvement in the supply chain environment. In terms of airfreight, we have seen that moderate throughout the year. We do have a large portion of our inventory that is core, about 45%, so that benefits us. We're not putting a fine point on margin for next year but remain committed to modest operating margin expansion over the longer term. And we'll come back and share more details on our outlook on our March call. 
John Kernan: Got it. I guess just a quick follow-up. Would supply chain cost being more of a benefit this year -- or next year, excuse me, as some of the container costs come down, airfreight, obviously, already coming down [indiscernible]? 
Meghan Frank: Yes. So I -- there's 2 pieces of the supply chain cost. So one is usage and then one is CPU. We are seeing lead times improve. We had called out 70 days on average last quarter. We're seeing them improve modestly, I'd say they're still not back to historical levels there. But we are seeing some positive movement on the CPU front. So we continue to view that as an opportunity as we move into next year. 
Operator: The next question is from Mark Altschwager with Baird. 
Mark Altschwager: Great. I'm curious what the early takeaways have been from the broader rollout of the Like New initiative? What are you seeing in terms of guest spend for those who have turned in used product. And similarly, curious if you can share anything else regarding the Lululemon Studio launch and maybe shed some light on your expectations for the Studio Mirror revenue for this year and next. 
Calvin McDonald: Great. Thanks for the question. So with the Like New, it's currently live in 50 states in an approximately 390 stores and we're not sharing specific performance details, but where we are pleased with the results we're seeing is really a twofold: one, guest acquisition on the resale side, new to the brand and the opportunity to enter at a different price point. And then with our current guests, their spending based on trade-in, where they come in and get a variety of different trade-in values and gift cards, we are monitoring and seeing a positive response to that. 
 So it's a new pilot rollout initiative for us, and we're pleased with the early results, and we'll continue to monitor. But early, it's been positive. And from -- sorry. On the Studio side, I'll break it down into 2. From the essential membership tier, which is our free membership program, if you remember on Analyst Day, we indicated that we aim to have 80% of our guests to sign up for the program. And based on our glide path to that as guests come into our channels, be it online or in store, we're running ahead of that. So we're very happy with the sign-ups at this point. And it's going to allow us to engage with that guest base through a variety of new benefits that we offer in a very exciting, positive way. And with the introduction, the re-branding of Mirror into Studio as well, very pleased with the response, continuing to test and learn but we're excited how the platform fits within community, fits within our essential membership program and allows us to continue to innovate behind community and the connection with our guests. So it's early, only a few months, but encouraged with the results we're seeing. 
Operator: The next question is from Michael Binetti with Credit Suisse. 
Michael Binetti: Congrats on a great quarter. Meghan, I guess just a housekeeping one. When do you think FX pressure to the gross margin can start to get better here given where rates are moving lately? And then I guess I'm just curious if you could help us unpack the gross margin a little bit more for next year. I know you answered it a little bit, but it seems like the industry is looking to get clean on inventory, so there should be some recapture opportunity there. Obviously, of freight, you spoke about a little bit and I'm curious how long you think that pressure on the fixed cost line within gross margin that flipped over to a negative this quarter on a nice comp. Does that roll forward with us for a few quarters? 
Meghan Frank: Great. Thanks. I would say in terms of FX, our outlook is that Q4 is more similar than not to Q3.  I think hard to put a fine point on next year, but I would view it as an opportunity over the longer-term time horizon. 
 In terms of gross margin next year, again, do view airfreight as a benefit but we're also committed really to that bottom line operating income expansion on a modest basis. We'll continue to balance opportunities and investments in the business, really focused on driving into our long-term goals, both of revenue growth and being able to scale with the business and support that long-term opportunity that we see. 
 And then I would say fixed costs, particularly on the DC side, we have some upfront investments in our DC capabilities and footprint in order to support that long-term volume. So we'll see some pressure in the near term and then see that start to leverage over time as we move through our 5-year plan. It is a multiyear road map. So we'll continue to offer some color there as we move through that. 
Michael Binetti: If I could sneak one in on the fourth quarter just -- I think you embedded in the comp for fourth quarter, particularly between the channel stores and e-comm, considering where traffic is, how much it's up based on some of the metrics you gave us and how busy your stores get over the next few weeks here. Maybe just a little bit on how you're thinking about the 2 channels. 
Meghan Frank: Yes, we didn't break down the channels for Q4. What we did offer was 23% to 24% sales growth overall. And we did give some color for the year on e-commerce at approximately 30% growth, which would embed both our Q3 results and our expectations for Q4. 
Operator: The next question is from Omar Saad with Evercore Partners. 
Omar Saad: I wanted to ask my first question on pricing, actually. I know you guys have been -- haven't been too aggressive or haven't had really the need to use pricing lever even in this inflationary environment. But as you see COGS, inflation, freight, FX impacting the gross margin. Maybe talk about your appetite and the brand strength and the brand's capability to use pricing as a tool as needed? And then maybe also dive in deeper on China. It seems like the form they were pretty solid despite all the COVID closures going on there? Maybe talk about what the outlook will be once -- what your expectations are for that business once the -- who knows when it will be, but once the kind of market and economy and consumer spending and retail environment opens up there? 
Calvin McDonald: Omar, on pricing, as we've stated, we only increased around 10% of our assortment mix this year as we priced in and we continue to evaluate and look for opportunity. And we separate cost of goods and any pressure we're seeing there with short-term cost of supply chain logistics. And what we don't want to do is react too aggressively and create any impact on the demand of our product. 
 And we're going to continue to take that approach, comfortable on the inflationary pressures we're seeing on cost of goods and how we're priced in. And as I said, we'll adjust on the other. And I think as we've seen through the 3 quarters of this year, the decision so far has been the right decision, where others that priced up are now heavily discounting and giving away any of that perceived gain and more so and having to mark goods down where we're able to continue to sell our product at regular price, not react and our markdown performance has been in our guidance in line with what we indicated we would be from a 2019 perspective. 
 So I -- we continue to monitor it, but our pricing decisions, I think, have helped to fuel our momentum this year, and we'll continue to take a similar approach as we look out to next year. And on China, we remain very excited. Our new store openings, we opened 9 stores in the quarter in Mainland China. We have 88 now in market. Their performance continues to exceed -- beat expectations. In markets where we don't have constraints related to COVID, the store performance and online performance is very strong. So we remain very excited about the market, committed to the market and know that it will play a strong role in our growth of quadrupling international through our "Power of Three x2" growth strategy. 
Omar Saad: Just to clarify, in terms of pricing, so it's not that you don't think the Lululemon brand has the pricing power, but you just don't see the need given some of the transitional nature of some of the inflation going on there to chase pricing given the environment. Is that a fair characterization? 
Calvin McDonald: It's a fair characteristic, but I'd also indicate when we mentioned the 10% of assortment that we've moved pricing on, throughout this year, we've looked at our new innovation and priced it accordingly relative to where we see opportunity in the marketplace. So we absolutely know that this is a premium brand. We have pricing power. We're able to launch and introduce exciting new innovation that is priced to support the technology and the innovation that is into the product. And we are being cautious in managing our regular pricing accordingly with the promotional nature of the market so that we're able to continue to sort of drive the demand at regular price that we're seeing, and we'll manage accordingly. But absolutely, it's not a reflection of what we believe the pricing power of the brand is. In fact, I think the way the brand is performing in a heavily promoted environment actually supports the power of the pricing position that we have at Lululemon.
 Operator, we'll take one more question. 
Operator: The next question is from Jay Sole with UBS. 
Jay Sole: Great. Calvin, I'm just wondering if you could talk a little bit more about what you've seen from the footwear business when you think about the Strongfeel versus Blissfeel versus Chargefeel? Have you seen the consumer adopt one style versus the other? I mean, have you seen certain colors or SKUs do better? And are you looking to expand the assortment as you get into next year? 
Calvin McDonald: Thanks, Jay. We're pleased with the results to date. As you indicated, we have 4 SKUs within our footwear and each have performed well. It's a combination. We're seeing certain guests purchase multiple styles, and we're seeing new guests enter either into Blissfeel or Chargefeel or into Strongfeel or Restfeel. Restfeel being our first dual-gender offering for both Him and Her and the other 3 being specific for our female guest built off of a last design on Her foot. 
 As we look forward, I'm excited about continuing to test and learn as we indicated, it doesn't play a big role in our "Power of Three x2" growth plan that we shared on Analyst Day, and it's an exciting category for us. And we have the ability and we'll take the ability to pace, to learn but we started with a very innovative, unique positioning, and we'll build from that. And colors -- from the color [indiscernible] responding very well to the colors. I think that's one of the unique positionings of it is our core colors of black and white are strong, but a lot of the unique color waves, She's responded very well to. So it's early for us, excited about the results, and we'll continue to test and learn and share more. 
Operator: That's all the time we have for questions today. Thank you for joining the call, and have a great day.